Operator: Ladies and gentlemen, thank you for standing by. Welcome to this Northland Power Conference Call to discuss the Fourth Quarter and Full Year 2021 Results. During the presentation, all participants will be in listen only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, Friday, February 25, 2022, at 10:00 AM. Conducting this call for Northland Power are Mike Crawley, President and Chief Executive Officer; Pauline Alimchandani, Chief Financial Officer; and Wassem Khalil, Senior Director of Investor Relations and Strategy. Before we begin, Northland's management has asked me to remind listeners that all figures presented are in Canadian dollars and to caution that certain information presented and responses to questions may contain forward-looking statements that include assumptions and are subject to various risks. Actual results may differ materially from management's expected or forecasted results. Please read the forward-looking statements section in yesterday's news release announcing Northland Power's results and be guided by its contents in making investment decisions or recommendations. The release is available at www.northlandpower.com. I will now turn the call over to Mike Crawley. Please go ahead.
Mike Crawley : Thank you, operator, and good morning, everyone. We're also joined this morning by David Povall, our Executive Vice President of Development as well. Off the top, just with respect to the conflict in Ukraine, I would like to just say that we are thinking of all of those impacted and also thinking of our colleagues, former colleagues and peers who have family and friends in the Ukraine. This morning, we will review our fourth quarter and full year 2021 financial and operating results. Following our prepared remarks, we will take questions from analysts and look forward to addressing all of those questions. To kick things off, as we always do, I want to reiterate that the health and safety of our employees and stakeholders always comes first. The rigorous adherence to health protocols during the pandemic helped to ensure the safety of our employees while ensuring allowing us to maintain high levels of availability at our facilities. Reflecting back on 2021, I'm happy to say that we delivered a strong year financially, operationally and strategically despite a number of challenges including a historically low wind resource in the North Sea. We have made strong progress in advancing key development projects, sourcing new growth and optimizing our operating facilities. As the global energy transition accelerates a substantial build-out of renewable energy will be needed over the next decade with government decarbonization policies and corporate net 0 plans taking hold. With a significant global presence, Northland is well positioned to be a big part of this transformation. Our leadership and entrepreneurial DNA has helped us grow into a global company and our significant -- significant exposure to offshore wind means that we can play a significant role in this energy transformation. We have an operating portfolio of over 3 gigawatts of which nearly 95% is under long-term revenue contracts and a 14 gigawatts development pipeline to fuel our growth. Our primary focus remains on offshore wind, where we have 3 significant projects that will reach financial close within the next 2 to 3 years. These include Hailong, which will reach financial close later this year, Baltic Power in 2023 and Nordsee Two in 2024. Together, these projects will provide us with almost 3 gigawatts of gross incremental capacity to complement the 1.2 gigawatts of offshore wind we currently have in operation. In addition, we are establishing a strong presence in select onshore renewable power markets to complement our growth in offshore wind and provide near-term growth in cash flow. Looking at our accomplishments over the last year. First starting with our financial results, we finished the year on a very positive note, posting solid results for the fourth quarter. For this quarter, we reported adjusted EBITDA of CAD364 million compared to CAD269 million in 2020, representing a 35% increase. For free cash flow, we reported CAD156 million or CAD0.69 on a per share basis. This compares to the CAD56 million or CAD0.28 from the same period a year prior. The strong performance in the quarter helped us achieve full year adjusted EBITDA of CAD1.14 billion and free cash flow per share of CAD1.40. Both of these results came in at the midpoint of our guidance and exceeded our more recent expectations for the year. Pauline will provide a more detailed look into the financial numbers later in the call. Looking back at the year, and with respect to our growth pipeline, we closed our entry in the 1.2 gigawatts Baltic power offshore wind project, for which we also secured a 25-year indexed CFD or power purchase agreement. Work is progressing on moving the project towards financial close in 2023 with commercial operations expected in 2026. We expanded our presence in the German offshore wind market with the formation of the 1.3 gigawatts North Sea cluster with RWE, and we exercise our step-in rights on the first of 3 projects within that cluster, Nordsee Two, to retain the lease. The formation of the cluster is expected to allow the realization of synergies in development, construction as well as operating costs, leading to enhanced returns for all of the projects. We also have the same step-in rights in -- for Nordsee Three and Nordsee Delta, which are expected to come to auction in 2023 and all three together formed the Nordsee Cluster with RWE are partner. Turning to our activities in Asia, we made significant advancements on our offshore wind projects under development there. The most notable is our 1,044 megawatts Hai Long project in Taiwan, where we are preparing to move the project to financial close later this year. In the past year, we completed key milestones for Hai Long, including obtaining the localization plan after working closely with the local supply chain and government. Tendering of the main components has resulted in preferred supplier agreements being signed and securing the supply chain for the project. In South Korea, we secured our first 2 electricity business licenses as part of our progression of a large portfolio of projects through early development in that country. In Japan, 2 of our projects were designated under the government's auction process as promising areas with bidding expected to come -- commence later this year. Looking at our near-term growth and cash flow, we acquired a 551 megawatts portfolio of wind and solar operating assets in Spain, as you know, one of the most promising growth markets for renewables. This portfolio so far has been outperforming our underwritten assumptions. The acquisition provided immediate cash flow to Northland has helped us to position -- has helped to position us as a top 10 renewable power operator within Spain. As we build on this momentum, we expect to grow this platform through both greenfield development and additional opportunistic acquisitions. We also solidified our entry into the United States renewable energy market by beginning construction on 2 of our New York State onshore wind projects, which are progressing on schedule and on budget. The 2 projects, BallHill and Bluestone have a combined operating capacity of 220 megawatts and benefit from a 20-year index renewable energy certificate agreement with NYSERDA. In Colombia, we began to deliver on our renewable growth strategy, leveraging our position in our EBSA utility there, we advanced the 16-megawatt Helio solar project and the 130-megawatt Suba solar projects. Helios has already achieved financial close and construction activities commenced in 2021 with commercial operations expected by the end of 2022 for both projects within the Helios cluster. We hold a 50% interest in the Suba projects with commercial operations expected in the second half of 2023. Both projects will benefit from long-term offtake agreements with Helios securing a 12-year PPA and Suba a 15-year PPA. Finally, we bolstered our talent by adding key people in roles across the globe. These experts are vital as we build out our capacity and grow our global footprint. These key roles include areas such as corporate offtake, strategy and market analysis, project management, global procurement as well as adding storage and hydrogen talent to strengthen our ability to succeed in these new growth sectors. In a world with significant -- significant need for new renewable power capacity and lots of capital looking to invest in these assets. You want to be a developer with projects of scale. This ensures we will have proprietary investment opportunities ourselves, but also that we can pursue sell-downs of interest in these projects going forward to other investors. With that, I will now turn the call over to Pauline for a more detailed review of our financial results.
Pauline Alimchandani : Thank you, Mike, and good morning, everyone. Last night, Northland Power released operating and financial results for the fourth quarter and full year 2021. We are immensely proud of the accomplishments we have achieved together as a team over the past year and are gearing ourselves up to continue to deliver on our stated objectives in 2022. Our fourth quarter and full year financial results showcase the continued strength and resilience of our performance despite the challenges we encountered through the first 9 months of the year with respect to low wind -- wind resource in the North Sea. As discussed in our MD&A, our financial performance from our offshore wind facilities were impacted this past year due to a weaker wind resource in the North Sea, which impacted all 3 of our offshore facilities. Over and above this, the turbine bearing replacement campaign at Nordsee One also impacted our results. However, we are happy to report that the wind conditions experienced in the fourth quarter were closer to our P50 or normalized expectations, and we continue to see strong wind conditions to start 2022. Looking at our financial results in the fourth quarter, we generated adjusted EBITDA of approximately CAD364 million, which was an increase of 35% for CAD95 million compared to the CAD269 million we generated a year ago. There were a few factors that contributed to the higher EBITDA and resulted in the year-over-year increase. These included higher contributions from the Spain portfolio due to the acquisitions and due to higher wholesale market prices in the quarter ahead of our expectations. Higher operating contributions from Gemini resulting from higher market prices realized on production above the subsidy cap and higher contributions from EBSA in our natural gas facilities due to optimizations in annual rate escalations. To understand our Spanish portfolio better, I encourage investors and analysts to refer to our 2021 annual report and our latest AIF released last night for more information. On a full year basis, we generated adjusted EBITDA of approximately CAD1.14 billion, which was near the midpoint of our guidance of CAD1.1 billion to CAD1.2 billion. Year-over-year, adjusted EBITDA decreased slightly by 3% from the same period a year ago due to a CAD94 million decrease in contribution from our offshore wind facilities, resulting from lower wind resource in the year, coupled with the APX hedging losses realized at Gemini and the lost revenues at Nordsee One due to the bearing replacement campaign. These decreases were offset by a CAD74 million positive contribution from the Spain portfolio as well as fewer periods of negative pricing and compensated outages at our German offshore wind facilities compared to last year. With respect to free cash flow, Northland generated approximately CAD156 million in the fourth quarter, representing an increase of CAD100 million versus 2020. Overall, the higher free cash flow in the quarter compared to 2020 was due to a number of items, including a CAD51 million increase in earnings across all our facilities, as I described in explaining adjusted EBITDA. We also realized a CAD27 million contribution from the Spain portfolio as well as a CAD10 million decrease in interest costs from repayment of facility-level loans. On a full year basis, free cash flow in 2021 was CAD307 million, which was a decrease of CAD36 million or 11% compared to the CAD344 million realized in the prior year. The main driver behind the year-over-year change in free cash flow was an CAD88 million decrease in contributions primarily at our offshore wind facilities. These decreases were partially offset by a CAD30 million contribution from the Spain portfolio and CAD18 million of interest cost savings resulting from the scheduled principal repayment facility-level loans. On a per share basis, these figures translated into free cash flow of CAD0.69 in the fourth quarter and CAD1.40 for the full year 2021, which came in at the midpoint of our financial guidance for the year and above our expected guidance of approximately CAD1.30, which Northland had guided to in the third quarter of 2021. These results compare to the CAD0.28 and CAD1.73, respectively, realized in the same period of 2020. Our rolling fourth quarter free cash flow payout ratio calculated on a cash dividend basis for the year ended December 31 was 56% compared to 63% in 2020. For adjusted free cash flow, which as a reminder, excludes growth-related expenditures from free cash flow, we generated CAD182 million in the quarter and CAD386 million on a full year basis. On a per share basis, this translates into CAD0.80 in the fourth quarter and CAD1.70 on a full year basis. This adjusted free cash flow resulted in a rolling fourth quarter payout ratio of 45% compared to 53% in 2020. Expanding a little on our growth expenditures, you will note our presentation of growth expenditures in our annual report distinguishes between business development and project development expenses. We believe this presentation will more clearly outline the nature of these expenditures. Business development expenditures are incurred to identify and secure prospective business and development opportunities. These are ultimately expected to result in identified development projects intended to be pursued to completion and include costs incurred for transactions that are not ultimately pursued to acquisition. On the other hand, project development expenditure -- expenditures are attributable to certain early to mid-stage development projects under active development that we have identified to the market in our current or previous disclosures. These projects are described and identified in our 2021 annual report. With respect to our balance sheet, Northland remains in a very strong position with ample liquidity to help fund our growth initiatives. As on December 31, 2021, we had access -- we had accessed to approximately CAD776 million of cash and liquidity, comprising CAD748 million of liquidity available on our revolving facility and CAD28 million of cash on hand. In addition to free cash flow generated, Northland uses additional sources of liquidity to fund growth and capital investments. For the year ended December 31, we sourced additional liquidity through net proceeds from a number of strategic debt refinancings and debt optimization. This included our Deutsche Bucht debt facility, and a number of Canadian solar facilities and our EBSA debt facility. In aggregate, Northland realized nearly CAD200 million of additional proceeds from these refinancings. When added to the nearly CAD250 million of additional liquidity generated in 2020, we have generated approximately CAD450 million of additional liquidity over the last -- past 2 years through our refinancing and debt optimization activities to further support our growth. Expanding in -- on Epsa a little bit more, in December, we restructured and upsized Epsa's long-term nonrecourse debt financing, resulting in CAD84 million of incremental cash proceeds to Northland net of closing costs. The aggregate amount of the financing was upsized to CAD533 million, driven primarily by expected growth in Epsa's EBITDA. The facility is structured as a CAD521 million term loan and a CAD12 million debt -- debt service reserve to credit facility. The restructured facility is denominated in Canadian dollars and the principal amount is currently 100% hedged against the Colombian peso. The interest rate on the debt facility before foreign exchange hedging costs is 3.7%. In addition, the Epsa facility will also benefit from a long term as we extended the loan to 3 years compared to 2 years previously. Under the terms of the Epsa facility, Northland intends to execute recurring upsizing of Epsa' debt supported by continued growth in EBITDA. Looking ahead, as we announced at our Investor Day held on February 8th to complement our existing sources of funding, Northland will be considering partial sell-down of ownership interest in certain development assets on or before financial close, green financing instruments such as green hybrid bonds and other financing tools. These additional sources are intended to improve Norland's financial flexibility while supporting the capital and credit requirements for our development projects. Turning to our 2022 financial guidance, as noted in our press release issued on February 8, for adjusted EBITDA, we expect to generate between CAD1.15 billion and CAD1.25 billion this year. This level is expected to be slightly higher relative to our 2021 guidance levels. Guidance for 2022 free cash flow per share of CAD1.20 to CAD1.40 is expected to be slightly lower than 2021 free cash flow per share of CAD1.40. This is primarily due to increased project development costs and higher corporate costs in pursuit of the company's continued execution of its global growth strategy. As a growth company with a significant pipeline of development projects, Northland is committed to unlocking value by deploying early-stage investment capital or Devex to advance our projects. As such, in 2022, we expect our development expenditures to amount to CAD100 million or around CAD0.45 per share to fund expenditures to advance the North Sea cluster, Scotland, Japan and Korea in addition to other strategies. Accounting for these growth expenditures noted above, our adjusted free cash flow for 2022 is expected to be in the range of CAD1.65 to CAD1.85 per share. This compares with adjusted free cash flow of CAD1.70 for 2021. I would like to point out that our 2022 guidance ranges for free cash flow and adjusted free cash flow do not incorporate any sell-down proceeds and as such, net proceeds from sell-down would increase our reported free cash flow in the event they do occur. In conclusion, 2021 was a strong year for Northland and demonstrated the resilience of the portfolio and cash flow through diversification. Our teams achieved numerous successes in the year that allowed us to exceed our expected guidance ranges for both adjusted EBITDA and free cash flow compared to the third quarter despite a truly anomalous wind resource year for the company. We also took meaningful steps to increase our liquidity and enhance our balance sheet through targeted debt refinancings and optimizations to fund new investments. All in all, it was a productive year for the company, 2022 will be another busy year for the company, and we look forward to providing you with updates on our progress on our upcoming quarterly conference calls.  With that, I will now turn it back -- I will now turn back the call to Mike for his concluding remarks.
Mike Crawley : Thank you, Pauline. So looking forward, we have a big opportunity ahead of us to further accelerate the growth that we have delivered over our 35-year history. We believe Northland is well positioned as an originator and developer of projects to capitalize on the expected growth in renewable power globally. Currently, we have 366 megawatts of additional capacity in construction with the expectation of completion in 2022. We also have nearly 3 gigawatts of gross capacity in projects, which are scheduled for financial close and commencement of construction within the next 2 years. Once these projects are complete, Northland's total gross capacity will nearly double to more than 6.2 -- 6.5 gigawatts by 2027. So this concludes our prepared remarks. We're now happy to take your questions. Operator, please open the line for any questions.
Operator: [Operator Instruction] Our first question comes from the line of David Quezada of Raymond James.
David Quezada : My first question here on the offshore wind segment. It sounds like curtailments were lower in the quarter, but the wind resource is actually pretty close to in line. I'm curious that, that situation has improved, whether due to investments in transmission or was that just temporary factors that -- that reduce those curtailments?
Mike Crawley : David, it's a good question. So you're correct that there was less curtailment than we had forecast and certainly less curtailment than we had seen in prior years. We are expecting that to continue to improve and I think as you may recall, about a year ago, we forecast that we expected by 2022 and certainly 2023 to see some of the impact of curtailment due to extended periods of negative pricing decline because of transmission enhancements, both in Northern Germany, but also Southern Germany, so the other side, David, the other impact, too, is just the gradual retirement of coal-fired generation in Germany as well, taking some thermal capacity off-line as well, which reduces the instance of negative pricing, too. So overall, we think it's a picture that is improving and will continue to improve going forward.
David Quezada : And maybe just one more from me. Just a question on your onshore renewable business, maybe specifically in Europe. I'm just curious if the high power price environment there today could prompt you to accelerate any opportunities that you could see there, just with maybe increased demand from corporate offtakers. Do you see any opportunities arising there that maybe weren't there 6 months ago?
Mike Crawley : Yes. I think it's both the higher energy prices, but also the volatility in energy prices and the uncertainty around power prices and gas prices, which are often on the gas off and on the margin in most markets in Europe as well for power prices. So those 2 pieces of uncertainty, we think will create a more favorable market for long-term contracting of renewable energy to corporates going forward and we think that's a positive for Northland as we look ahead to contracting the North Sea Cluster over the next 2 years or 3 years.
Operator: The next question comes from the line of Sean Steuart with TD Securities.
Sean Steuart : Two questions, following up on the European onshore platform and Pauline, thanks for the additional disclosures in the MD&A on the dynamics for those contracts in Spain. Can you just help us understand a little better the pool price, return on investment dynamic there? And it sounds like there's some revenue recognition deferrals. And I'm wondering, practically with what you've seen for the pool price through the latter part of 2021, early 2022, how that will affect the EBITDA and free cash flow from those assets?
Pauline Alimchandani : Yes. So I think with respect to Spain, given this was our first acquisition, it was very much for us sort of learning and understanding not only the onboarding and integration of the assets, but also the accounting and very specific accounting that follows the regulated treatment of these assets. So maybe in a simplified way, what I will say is there is a concept of band adjustments that are within the Spain portfolio, and the intent of those are effectively to smooth out over the 3- to 6-year period essentially the peaks and valleys of what ultimately happens with the pool prices. So over time, it is intended to be sort of a stable return. However, given the unprecedented levels of the pool prices in this year, it's sort of a framework that resulted in a benefit to us in 2021. We are expecting though that we will receive most of the benefit of the pool prices. Now it depends on what ultimately happens in 2022, but we will see mostly the benefit of the pool prices, all else equal on the next regulatory cycle, which will be in 2023. So I know that was probably a lot, but all I could say is we are following exactly IFRS revenue recognition treatment with respect to Spain, and we are not deferring or making any subjective decisions here on how we account for the revenues.
Sean Steuart : Question on prospective development and specific to the U.S., Mike, any context you can give us on thoughts beyond New York, what the company might be looking at there? Is your plateful enough with offshore wind elsewhere that will be the focus for the company?
Mike Crawley : Yes. I'll turn it to David for a couple of comments. But I mean our focus in the U.S. has been primarily in the Northeast and obviously principally in New York State. We like the -- in New York ISO and also, to some extent, some parts of PJM, we like those markets. New England, we like that market. We've looked at opportunities there before and particularly in New York, we like the long-term contracts that are available. But maybe some additional color in terms of what you're seeing in the U.S. David.
David Povall: Yes. No. Thanks, Mike. Thanks, Sean. Good question. I think as we communicated in the Investor Day, it's very much a targeted approach. Obviously, the U.S. is a huge market, and we need to be very focused in our activities. I think the recognition of the center of the New York market, we continued to see that proceeding and so we -- you'll see more assets, I think, coming through in New York. As Mike said, the wide PGM, we think there are some similar benefits there. We're tracking as one of the earlier questions about where we see the strongest activity in liquidity and the corporate PPAs. And I think some of that comes in that PGM market as well. So as we look to the contracting basis of these assets being on the corporate side, you want to make sure we've got strong liquidity and strong potential for the offtake. So I think it's in those 2 key areas really.
Operator: The next question comes from Rupert Merer with National Bank.
Rupert Merer : If I could start with the thermal division, some talk of price escalation that you saw in the quarter that contributed to higher EBITDA, it gives a little more color on what you saw in price escalation and where and was there anything else that contributed to that strong result?
Mike Crawley : On the price escalation, I'll flip it over to Pauline, but it's principally been annual CPI adjustment that drove that escalation.
Rupert Merer : So is that a higher number this year? Or have you seen something, say, north of 4% or 5%?
Mike Crawley: Beg your pardon, Rupert.
Rupert Merer : What was the CPI adjustment? What was the level of the adjustment you would have seen?
Mike Crawley : It's around 2% to 3%.
Pauline Alimchandani : There were also some lower OpEx costs as well, which also contributed to the results this year, too.
Rupert Merer : Okay. Is that a sustainable drop in OpEx?
Mike Crawley: I describe those more as onetime and just kind of relative to budget what we budgeted. So I wouldn't necessarily assume that those are recurring. The only facility where we will see a continued reduction in operating costs would be KLPC as a result of the enhanced dispatch contract that we entered into with the ISO the system operator in Ontario, which basically means that the facility is going to operate at a much more reduced level, which both -- does 3 things. One, it reduces operating costs in the long run. Two, it reduces admissions from the facility materially. And three, from our standpoint, overall, it reduces the risk and exposure to that facility to an older facility, so the less it operates the less risk there is something going wrong?
Rupert Merer: And I'd like to take another crack at Spain, if I may, Pauline and I apologize because I haven't read the AIF yet. But in the circumstance that the power prices remain as high as they are now, if you do get a regulatory reset in 2023, is there any opportunity to overearn your target return, meaning that you don't actually have to repay any excess revenue or does the contract effectively assume that you would have to repay?
Mike Crawley : I can start on that, and then I'll turn it to Pauline. The main opportunity for us to outperform in Spain is around the availability and our operating costs in the facility. So I don't know if I mentioned on our prior call, but our head of onshore renewables relocated to Madrid and is going to be there for the next year to make sure that we both integrate the portfolio well into Northland, but also to really drill down and understand those assets to ensure that we can operate them as efficiently as possible, both from an availability standpoint, but also from a cost standpoint. And that -- those are the 2 2 ways that we can actually do better through the regulated tariff because there's an assumed cost of operating an assumed availability level that -- in the regulated tariff that solves to a rate target rate of return. So that's where our main focus is. On the higher pool prices, as Pauline explained, the mechanism and the accounting treatment, which is guided also by the regulator is to smooth out the impacts of any high or low pool prices during a regulated -- the 3-year regulated period. And then the reset happens and -- but the idea is to make it -- the cash flow less volatile to the owners of those assets. So we wouldn't anticipate pool prices in the long run would allow us to outperform our return on those assets. It certainly does improve our recontracting opportunity on those assets as they fall off of the regulated tariff over the next 10 years, we would expect if pool prices remain high. And certainly, as we talked about earlier in the call, if energy prices remain somewhat volatile, we think that will play a more fertile market for recontracting. Pauline?
Pauline Alimchandani : Yes. The only other thing I was going to say to that is that under the regulated return, like your return is intended to be between the 7.1% or the 7.4%. However, the cash that you -- that we receive under the way that the agreements are written, we don't have to -- that cash is not clawed back. So it's available for us to use it at a corporate level, which sort of enhances returns on the corporate level perspective, but when it comes to the actual just considering Spain entity and Spain itself, the returns are intended to be stable for the life of the asset or the life of the contract.
Operator: Our next question comes from Naji Baydoun with IA Capital Markets.
Naji Baydoun : You mentioned that you've invested a lot in talent this year. I'm just wondering today when you think about your organization, do you think you have all the right people in the right places? Or do you think there are any capabilities or tools that you're still missing that you might want to be pursuing this year?
Mike Crawley : I think we've done a lot in the last year to add talent. What we're looking at in 2022 is to take a bit of a fresh look at how our business processes operate and a bit around kind of how we structure ourselves globally to do some enhancements just both from an asset management and also a growth standpoint to make sure that we're structured in the most efficient way and also in a way that properly manages risk for a company of our scale. So that's more what the focus is going forward in 2022 versus last year where it was more about pulling in the talent that we needed. And so it's more about taking all the talent and making sure it's properly organized over the next year is where our focus is. We've grown a lot -- we've grown a lot over the last several years. And so we do need to make sure that the company or the scale it is now and the scale that it will be in the coming years is structured properly.
Naji Baydoun : And I just wanted to ask if you could provide a bit more context on the projects in Scotland. So what's your outlook for the 2, I guess, options that you have now in the book? And maybe talk a little bit about floating wind, if you can as well?
Mike Crawley : Yes, sure. I'll turn it to David. 2 leases 2.3 gigawatts that we were rewarded, and David can give you some more color on those opportunities?
David Povall : Yes, Naji. Good question. So you're right, with a floating lease, one site is definitely for floating technology. The other one is for fixed. They are -- they're early stage projects, obviously, they're right at the start of the development period. So we are -- we are looking at the back end of the decade really by the time you're going to get to financial close and [CRD] of those assets. Development works are underway. The focus, of course, from a timing perspective is the fixed one to move that one forward with speed. Obviously, for the reasons of the technology and the ability to do that, given its location. It is Northland's first floating project. And so it's a project that we're going to learn on as we do that, there's a lot of similarity. So the learning is really on the optimization of the design of the floating and choice of the floating technology foundation technology, and that's something that we -- to your earlier question, we actually have capacity that we brought in already in the business to specific floating technology. And so that's going to be something that we'll be able to leverage on other parts of the world as well as we look for further floating sites and further expansion in the portfolio.
Mike Crawley : We're seeing no further questions. I want to thank everyone for joining us today. We will hold our next call following the release of our first quarter 2022 results in May. In the meantime, we want to thank you for your continued confidence and support. We got one more. Sorry, Mark Jarvi. Sorry.
Operator: One moment.
Mike Crawley : Are you there, Mark?
Mark Jarvi : Yes, I'm here. Can you hear me?
Mike Crawley : Yes, you just made it under the wire. Just how you popped up. Sorry, we're about to cut it off.
Mark Jarvi : Yes. Sorry about that. I just wanted to kind of circle back on partnerships for offshore when you've done a number of them in different ways. How much right now are you getting inbound versus you chasing partnerships and trying to find a local partner? I'm just wondering sort of the frame of sort of types of partnerships you're entertaining at this point.
Mike Crawley : Yes. I'll turn it to David again. I mean we're seeing a number of new markets start to open up or at least governments put out frameworks or initial consultations around offshore wind frameworks in some new markets. So we do get contacted by some of the early-stage developers in those markets looking for an experienced partner. But Dave, I don't know if you have anything you'd add to that, David.
David Povall : I missed the subtlety Mark's question.
Mike Crawley : It is around how much of it -- in terms of our partnerships and offshore wins that we enter into it, how much are we finding now is us reaching out versus inbounds coming in asking for us to reaching out to us, developers.
David Povall : Sorry, Mark, it was a bad line, I couldn't quite [indiscernible] of course, once we've got the foothold in the market, the inbound calls come much more frequently, and we're finding that in a number of the locations we're in now. As we've got that presence, we've got that replication. Of course, we're bringing value, then a partner is coming towards us to look to access that value that we're bringing to form a partnership. So I think we're seeing increasing numbers of that now in our target markets, which is great because we intend to grow. We're not a single project, single country, you want to grow a portfolio in each location. So I think it's positive from that perspective.
Mark Jarvi : And in terms of those inbounds, like how often was this company maybe not fit for the exactly where you want to deploy permanent equity, but something you could help with. Like is there an opportunity for you guys to use your enhanced scale and operational development to sort of be a service provider, maybe not a long-term on some of these partnerships you've been shown?
David Povall : Yes. I mean what we're -- a couple of things. One is we're looking to moving forward, position ourselves not just as a developer in -- particularly a late-stage development who can manage procurement and construction setup and not just as a constructor but also as an asset manager and operator of the facility. So that ideally, it won't be always the case, but ideally in the event where we enter into partnerships with another developer, then we would be able to position ourselves as the asset management going forward, which both allows us to better, I guess, protect and manage our own investment in that facility, but also hopefully to be able to receive some incremental cash flow from that as the asset manager beyond just whatever distributions we get as an investor in those facilities.
Mark Jarvi : Understood. And then just coming back to Nordsee Cluster and then obviously when we talked about the former Nordsee One comes off contracting around the same time. Is there an opportunity to repower or Tier 1? Or is that just not feasible at this point? And just too early into a life cycle?
David Povall : Yes, it's a good question. I think in terms of kind of -- it was a 9-year almost 10-year offtake agreement or subsea contract on that facility. So when that comes off, the facility still got a lot of life in it. So I think it would be unlikely that we'd repower, I think the better opportunity would be to recontract that possibly as part of the recontracting of the overall Nordsee Cluster since it will be right around the same time when the Nordsee Cluster comes online. So I think that's probably the better opportunity than a repowering on that facility, certainly not at that time.
Mark Jarvi : And one last one for Pauline. Just Nordsee cost in terms of the bearing repairs. Just any update or how that's tracking versus sort of prior disclosures or your expectations?
Pauline Alimchandani : No, it's tracking along in line with expectations and the replacement campaign that we have planned for this year and the lost revenues that we have expecting is obviously just an estimate is reflected in the guidance that we would have released previously.
Mike Crawley : Well, thanks, everybody, for joining, and we look forward to talking to you again after the Q1 results come out.
Operator: Ladies and gentlemen, that does conclude the conference call for today. Thank you for participating, and have a pleasant day.